Joe Spain - CFO:
Jim DeSocio - President and CEO:
Howard Halpern - Taglich Brothers:
Operator: Greetings, and welcome to Intellinetic's Third Quarter 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Joe Spain. Thank you, Joe. You may begin.
Joe Spain: Thank you, and good afternoon, everyone. I am filling in for IR today, so I am pleased to welcome you to the Intellinetic's 2024 third quarter conference call. Before we begin, I would like to remind listeners that during this conference call, comments made by management may include forward-looking statements regarding Intellinetic, Inc. that are not historical facts. These forward-looking statements are based on the current expectations and beliefs of management, and they are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. Intellinetic Inc. undertakes no duty to update any forward-looking statements. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release issued today, as well as risks and uncertainties included in the section under the caption, Risk Factors and Management's Discussion and Analysis of Financial Conditions and Results of Operations in Intellinetic Inc. report on Form 10-K or the quarterly report on Form 10-Q filed today. Also, please note that on the call today, management will discuss a non-GAAP financial measure adjusted EBITDA. Non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP and may be different from non-GAAP financial measures presented by other companies. A reconciliation between GAAP and non-GAAP measures can be found in the press release issued today. With all that said, I would now like to turn the call over to Jim DeSocio, Intellinetic's President and CEO. Jim, the call is yours.
Jim DeSocio: Thank you, Joe. Good afternoon, everybody. Our Payables Automation Solution, IPAS, continues to be our main story. We believe it will be the driver to take our business to the next level. Before I get more into that, I want to take a moment to share how proud I am of the team that helped build the business as it stands right now. Over the past few years, we've created a business model that is sustainable and generates cash. In fact, since 2021, we've paid out all the acquisition earnouts, totaling $2.7 million. And since December of 2022, we've paid $3.6 million in long-term debt, mostly via prepayments, which has significantly reduced our interest expense. Operational results enabling this aren't easy, as everyone who has been through acquisitions knows. So my heartfelt thanks go to every employee and particularly the leadership team in place. As pleased as I am with the team and what we've accomplished, I am more excited for our future. I've been talking about IPAS for a couple of quarters now. I've been in software my entire career. And this launch is going as well or better than any launch I've been involved with. Customer acceptance is very high. Last month, we presented at the Build Smarter Homebuilding Industry Conference, where we turned into one of the stars of the show. In one session, a customer presented their incredibly strong ROI story in going live with our solution, which paid for itself in a matter of months. This is why IPAS sells and why we're so excited for our customers and for our ERP partner, in this case, Constellation Homebuilder Systems. We're on schedule to release additional functionality around purchase orders at the end of this year. That will not only bring in customers on its own, but will add PO [ph] transaction volume to over half of the existing customers, using only the accounts payable functionality today. Adding incremental revenue to us. At the same time, as we actively pursue the IPAS opportunities in the constellation ecosystem, we are fast-tracking discussions with our K12 partner, Software Unlimited, for deployment of IPAS into their ecosystem. The beta customer went live last month, and we have already secured an order beyond that first one. The K12 customers have a smaller volume of transactions, which will translate to a smaller average selling price than homebuilders, but will also generally implement in less than half the time of the larger homebuilding entities. Our first priority is to make significant inroads into these two populations. We're not waiting on those alone, though, and we have resources focused on finding the next Constellation and Software Unlimited. We have an opportunity with niche ERP providers, where we can outperform and out-support competing generic solutions. Accordingly, as we have been communicating, now is the time for us to invest in scaling our business. We began in earnest in Q3, hiring two incremental sales reps, as well as a new implementations manager and additional help desk support. We also expanded our outbound sales efforts with internal and contracted resources. Our marketing spend will include more frequency and a larger presence at select trade shows. As well as expanded campaigns. These investments will modestly, and we expect, temporarily reduce our EBITDA, but we also expect that they will bring revenue opportunities that should exceed the spend and be accretive at some point in 2025. Once the additional revenue from IPAS exceeds these investments, incremental revenue will disproportionately drop to the bottom line. In other words, our incremental gross margins will more than offset our investment spend. At this time, I would like to turn the call over to our Chief Financial Officer, Joe Spain, to talk to you about our financials.
Joe Spain: Thanks, Jim. I will now review our financial results for the third quarter of 2024, for the period ending September 30, 2024, compared to the period ending September 30, 2023. Total revenue for the quarter increased 8% to $4.6 million, as compared to $4.2 million for the same period last year. The following are the material components of our revenue presented on our statements of operations. First, subscription software, which is comprised of SaaS, including hosting revenue, and software maintenance services revenue. This increased to $1.76 million for the quarter, from $1.65 million for the same period last year. SaaS grew 8.5% and, consistent with history and as expected, our software maintenance services revenue was flat to 2023. Professional services revenue increased 11.5% to $2.6 million, from $2.3 million for the same period last year. As a percentage of total revenue, professional services revenue was 56.7% for the quarter, up from 54.9% last year. Consolidated gross margin decreased 20 basis points to 61.1% for Q3, compared to 61.3% last year. The slight decrease was driven by unfavorable projects in our document conversion professional services business, which offset price increases over last year. As we point out in our MD&A, our professional services projects can vary in cost to deliver and will result in inconsistent margins month to month and quarter to quarter. Similarly, our SaaS margins decreased very slightly to 83.7% from 84.5% last year. This is within a normal fluctuation tolerance and these margins remain very strong. The margins for our SaaS solutions are consistently in the low to mid 80s and remain ahead of last year for year to date. Operating expenses increased 37.3% to $3.1 million, compared to $2.3 million in Q3, 2023. As called out in our earnings release, the increase in GAAP operating expenses of $844,000 is driven by three things. First, $381,000 in share-based compensation expense. Second, planned investments in sales and marketing resulting in an additional $206,000 over the same expense in the third quarter, 2023. Third, the balance from higher general and administrative expenses to scale the business, including our SOC 2 program and IT infrastructure enhancement. So to repeat the first part, nearly half the increase is non-cash share-based compensation expense for restricted stock and options granted in Q3, 2024. Looking at the next most significant increase in more detail, our sales and marketing expense for the quarter increased 41.6% compared to the same period during 2023, or $206,000. As Jim mentioned, we are investing more heavily in marketing and sales, and these prior period comparatives will continue to be skewed as we increase the sales and marketing investment compared to historical levels. This includes increasing our trade share activity in '24 and beyond, which is important to both our IPAS and K-12 revenue acceleration. Net loss for Q3 was $393,000 compared to net income of $209,000 for the same period last year. Loss per share was $0.09 per share compared to earnings per share of $0.05 last year. Our adjusted EBITDA for the quarter was $479,000 compared to an adjusted EBITDA of $709,000 for the same period in 2023. Next, a brief review of our balance sheet. At September 30, 2024, we had cash of $2.5 million and accounts receivable net of $1.3 million. Our total assets were $19 million, including $9.3 million in intangible assets and goodwill as part of acquisitions made since 2020. Total liabilities were $8.6 million, including $3.5 million in deferred revenues, reflecting signed SaaS and maintenance contracts. As a reminder, many of our government and K-12 contracts run July to June annual subscription periods, so Q3 is always our highest deferred revenue quarter. We had $1.3 million in debt principal outstanding as of September 30, after making a further $800,000 in prepayments in the quarter. That brings us to a total of $1.65 million in debt principal repayments we have prepaid in the first nine months of 2024. I want to wrap up with our financial outlook, which is unchanged from last quarter. Based on our current plans and assumptions and subject to risk and uncertainties we described in our filings and this call, we are reiterating our expectation to grow revenues on a year over year basis for the fiscal year 2024, and due to our increased investments, we expect our adjusted EBITDA to decrease modestly year over year. We expect our investment to have a positive impact on our financial results going forward. With that, we thank you all for listening, and at this time, we would like to open the call up to Q&A.
Operator: [Operator Instructions] Our first question comes from Howard Halpern, Taglich Brothers.
Howard Halpern : Good afternoon, guys. In the press release, you mentioned, I guess, three IPAS customers going live in the fourth quarter. What will the total number of live customers be as we enter 2025?
Jim DeSocio: As we enter 2025, we hope to have the majority of our customers live. We just signed a very large customer that’s going to provide $250,000 of annual revenue to us. They probably won't go live to the middle of the first quarter, but we should have about 11 or 12 customers live at that point. And as I reiterated in the past, one of the great metrics in software is the majority of those have paid in full for their first year, which is a great metric showing that we're doing a good job with implementing, and they are trusting us to get them up and running live.
Howard Halpern: Okay, and you talked about the trade show that you showed at the home builders. Do you have some feeling, I guess, on what the pipeline could be coming out of that show? You know, how many attendees were there, and were they all gravitating to you?
Jim DeSocio: There was about 400 attendees -- the 450 attendees. I'm not sure exactly how many unique companies were there. I do know that we had a session there. Well actually, Matt Chretien, who's our founder and is heading up the IPAS business unit at Intellinetics, the CEO of Constellation Home Builders, kicked off the meeting in front of all 450 people and then gave Matt two minutes to introduce himself in Intellinetics. Constellation has been extremely supportive of Intellinetics. And then in our breakout session, we had over 50 people attend that session. One of our customers, CW Group, was a testimony for us and actually ran that presentation talking about their ROI and their return on investment and how quick the payback was in getting up and running live. It was a very, very good session, very excited about the momentum we came out of that show.
Howard Halpern: Okay, and with the hiring of some software people and help desk implementation people, as we go into the quarters next year, do you anticipate a faster pace of implementations coming with full functionality that you talk about?
Jim DeSocio: Yes, as in any new release, the first couple releases take longer. You're learning, customers are asking for additional features. Now we've actually formalized our release schedule going forward. We've improved the tools that we deliver with the products to help people get up and running live. Our people are getting better and know the product better and what questions our customers are going to ask. So we do certainly expect a lot quicker implementations going forward, yes.
Howard Halpern: And would you anticipate getting on to at least one or two other ERP systems into different verticals at some point next year?
Jim DeSocio: Yes, and the exciting thing is SUI Software Unlimited has been probably a four or five-year partner of Intellinetics. They have 1,100 to 1,200 of their own customers. We share 215 customers right now with our document management package. And they have just signed a co-marketing agreement with us on the IPAS product. As I said, we've been in beta with one of their larger school districts, went extremely well. Another one signed, and we plan on rolling that out, if not the fourth quarter, certainly the first quarter of really aggressively going out and selling that into the K-12 customer base.
Howard Halpern: Okay, and two last questions.
Jim DeSocio: Let me, Howard, to finish my thought, one of the new hires we had, we did hire a couple of new salespeople. We also hired a brand new partner manager. And that partner manager's responsibility is to identify and find new ERP partners that we can integrate with our IPAS product. And we've identified a couple, and he's only been doing it two months at this point. And we're pretty excited about what he's turned up and our opportunity in that part of the business also.
Howard Halpern: Okay, and from a modeling perspective on IPAS, would you be sort of inferring from your comments in the beginning, would you anticipate we'll see a meaningful inflection point in the SaaS revenue, quarterly revenue, probably in the second half of next year?
Jim DeSocio: That is the plan. As you know, when you sign a, you know, an IPAS deal towards the end of '24, you really don't start seeing that revenue to the New Year. So anything we sell now probably won't start recognizing revenue until, you know, March timeframe, as an example. So, yes.
Howard Halpern: And just one last one, since we're already into November, can we make the assumption that the activity in Michigan will remain the same at this point?
Jim DeSocio: Yes, certainly through the end of the year.
Joe Spain: Yes, I would say the BPO business that we've talked about, and the one that we referenced in prior releases, is unchanged, and our expectation is, you know, especially with government heading into the holiday months, that we have very low expectation of getting anything from them until the New Year.
Howard Halpern: Okay, okay. Thanks, and keep up the great work.
Jim DeSocio: Thank you.
Joe Spain: Thanks, Howard.
Operator:
,:
Jim DeSocio: Thank you, Julian. Thank you all for joining us. I am very optimistic about the future of Intellinetics, as you could probably hear from our answers. We have exciting SaaS assets, supported by a projected oriented business that is expected to continue to generate cash. We are paying down our debt and investing in our sales and marketing functions to drive future growth. We have a strong competitive position in growing markets, and a diverse set of solutions with ample cross-selling opportunities. Our business model, structured around delivering cash flow while growing SaaS, is working. We appreciate the continued support of our long-term shareholders. Thank you for joining us today. We look forward to speaking again on our next conference call. Thank you.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time.